Alexander Saverys: Okay. Good afternoon, everyone, and thank you for joining the CMB.TECH Earnings Call for the Fourth Quarter of 2024. My name is Alexander Saverys. I'm the CEO of the company, and I'm joined by my colleagues, Ludovic Saverys, Enya Derkinderen, and Joris Daman. We will talk about the financials and the highlights of the group, and then we will have a deep dive into every Marine division and the market outlook per division, ending, as always, with some concluding remarks and time to answer some of your questions. I would like to hand it over now to our CFO, Ludovic.
Ludovic Saverys: Yes. Thanks Alex and hello everyone. Zooming in on the fourth quarter financials. We had strong results this quarter with a profit for the period of $93 million. This brings the full year profit within CMB.TECH over $870 million. This is the second consecutive year that we are around these figures, which is, in our view, quite strong. Zooming in on the rest of the metrics we have, our liquidity still stands at $281 million. Our contract backlog, which we'll dive in later, is still at $2.05 billion. The CapEx, we've taken a lot of deliveries of newbuilding ships is going down, but yet still is a $2.1 billion outstanding CapEx and our financial covenants are all in order with a book equity on total assets of 30.5%. Again, highlighting some of the events in our quarter, the profits I've mentioned, we took delivery of seven newbuild vessels in Q4 and an additional two vessels in Q1, which obviously is straight on our diversification and decarbonization strategy. At the same time, we sold some older Suezmax vessels, the Selena, the Cap Victor, the Cap Felix in Q4, generating a nice capital gain of $71 million as well as the Cap Lara Suezmax and Alsace VLCC and WINDCAT VI in Q1, generating again a capital gain of $46.5 million. The Board decided not to declare a dividend for Q4. And as mentioned, our contract backlog is at $2.05 billion. On the right-hand side, you can see that 2024 was an active year for newbuild deliveries. We had 20 newbuildings delivering over the last 12 months. Moving to the fleet on the water. We have 115 vessels at the end of the fourth quarter on the water with another 46 newbuilds from which 38 oceangoing vessels, which is the brunt of the $2.1 billion CapEx remaining, 35 tankers, 10 bulkers, four container vessels, six chemical tankers, 54 CTVs on the offshore wind and three tugboats and ferries. This will grow further in the next coming years, roughly 20 newbuildings every year. Moving to next slide. Here again, we want to highlight the detail of the contract backlog per division, but as well as the P&L breakeven. The results on the time charter equivalent for every division, but also what we have fixed already in Q1 as we've detailed in our press release. Here, we zoom in on the current contract backlog that we have. We are working on a couple of few new projects, which hopefully will materialize in Q1. But nevertheless, you can see that we have close to $1 billion on the tankers, a big contract backlog on the containers and the chemical tanks for respectively, each $0.5 billion. This slide, as we show in every earnings presentation, could give you an indication on what the open days are in our company, the fixed and the total days. So, we had about 18,500 days shipping days in total for 2024. This is growing, thanks to all the newbuild deliveries up to 27,000 days in 2026, where still roughly we have about 25% fixed, so contract cover for the remaining two years. I'll hand over the floor to Alex to zoom in on the various divisions we have.
Alexander Saverys: Yes. Thank you, Ludovic. I will take you through our five major markets, starting with an overview of where we are in the two biggest markets for CMB.TECH right now, definitely on the spot side, which are the tankers and the dry bulk markets. What we have put on this slide is some negative catalysts in the market, but also some positive catalysts. Maybe starting on the positive side for tankers, for VLCCs and Suezmaxes is, of course, the pressure on the dark fleet, the OFAC sanctions, and then possibly as well an increased enforcement of these sanctions and the impact it has on the normal fleet, of which, of course, Euronav, our Tanker division is part. On the dry side, on the positive side, we are expecting a reflation of the economy in China, which will also be focused on the property market, stabilize the property market, always good for iron ore. We also see increased supply of bauxite and iron ore coming out of Africa, which should be supportive for the market. On the negative side, there is still uncertainty, both on tanker markets and on dry bulk markets with a couple of elements, highlighting on the tanker side, the Chinese economy, which is kind of an overruling element over the last couple of years is how much will China continue to import or grow its imports of oil. On the dry bulk side, even though the iron ore story in general looks very promising, particularly in China, we are seeing quite high stockpiles, which could have a negative effect on the market. But all-in-all, when we take these two in balance, as you will see in the next couple of slides, we are nevertheless positive for these markets. On this slide, you can see a very nice picture of our brand-new Super Eco Suezmax Orion, which was the last one to be delivered last year in October. And giving you a highlight of Euronav of our Tanker division. We have 14 VLCCs and 21 Suezmaxes on the water. We have another five VLCCs and two Suezmaxes for delivery, not this year, but in 2026 and partially in 2027. In Q4, we averaged around $37,000 for our VLCCs. What we have fixed so far in Q1 sits around $31,000 for the Vs. On the Suezmaxes, we did $38,000 in Q4. And to-date, we have fixed $32,900 for the Suezmaxes. As Ludovic said, we have entered into our fleet rejuvenation with the sale of four Suezmaxes, the Selena, the Victor, the Cap Felix, and the Cap Lara. We also delivered the Alsace, our VLCC during this quarter. And all-in-all, that has given us a profit on sales of assets over Q4 and Q1 so far of $116 million. On the demand side, we expect oil demand to grow, oil supply also to grow both of them, which should be supportive for our markets. Order book to fleet on VLCCs looks good. Order book to fleet on Suezmaxes is higher, but we believe still manageable. And then, of course, there's these additional catalysts, as I was highlighting, the OFAC sanctions, which could add some positive momentum to our markets. On this slide, we want to highlight on the right side, which drivers are positive and which drivers are negative for the tanker market. And as you can see, there's a lot of green except for the China oil imports year-on-year, which are slightly down, but all the rest are positive indicators for our tanker markets. Focusing on the Suezmax age profile. We have focused before on the VLCC age profile. We wanted to do the same on Suezmaxes. You can see here that by 2030, 244 Suezmaxes will reach the age of 20 years or more. Between now and 2028, there are 110 Suezmaxes delivering to the fleet, which means that even though the newbuild orders stand at a slightly higher order book to fleet on the VLCCs, we still believe they will not be able to cover the rapidly aging fleet. And as you can see as well as a last point, crude tanker ton-mile growth of 2% in 2025 with some productivity losses that we see related to age should normally bring our market into a positive balance. Some more demand fundamentals. The OPEC cuts that were going to be reinstated, that reinstatement has been delayed. We are now waiting to see what is going to happen in April. Obviously, if that supply comes on stream again, it will be positive, particularly for our VLCCs. On the demand side, you can see all the agencies and their forecast for oil demand in 2025 is all above the 2024 numbers. So, that's a positive. And as I said previously, so both on the demand side, extra demand, but also on the supply side, even a slight oversupply. Usually, that is very positive for our tanker markets. Additional upside can come from the sanctions. And my colleague, Joris has pointed out to us two very interesting graphs that you can see here. Russian oil on the water, that's the graph in the middle and Iran oil on the water and in storage is the graph on the right side. You can see that in recent months, these numbers have shot up, which for us are a very clear indication that the sanctions are starting to bite and it's increasing inefficiencies on Russian oil and Iranian oil. So, watch the space because this could definitely be a big driver. One thing I haven't mentioned yet is the enforcement of the sanctions by the Shandong Port Group. We all know that in China, there are, of course, ports that will take sanctioned vessels. But of course, the more sanctions are enforced both in China and in India, the better this should be for our market. And so again, these indicators in our book are additional upside markers. Focusing on the dry bulk, you see again a beautiful picture of our mineral Portugal leaving Port Hedland full with iron ore. She was the 11th Newcastlemax that joined our fleet. The highlights, as of January 23rd, we had 12 Super Eco Newcastlemaxes on the water, another 16 to be delivered. In our Dry Bulk division, Bocimar, we also have two 5,000 deadweight mini bulkers, which will deliver next year. We still have seven Newcastlemaxes to be delivered in 2025, and we realized a time charter equivalent of close to $30,000 in Q4. In this quarter, which is a traditionally slower quarter, what we have fixed so far is $17,500. In the short-term, we have seen weaker-than-anticipated demand in Q4. Q1 is traditionally a slower quarter, but so far, we have not been impressed by the rates. Very recently, of course, rates have started to pick up, and we expect and hope that things for the remainder of the year will be more positive. That is supported by some of the indicators that you can see on the right side, a lot of the indicators are green. Only a few indicators are red, one of them being the China iron ore inventories year-to-year, which are higher. Another very positive for dry bulk, definitely on the larger sizes, Capesizes and Newcastlemaxes is the order book to fleet. We are at a historic low of just under 8%. On this slide, we wanted to highlight two things. One is the order book to fleet. As I said, just under 8% today, historical lows, but also the average age of the fleet. We are reaching a level that we have not seen for more than 15 years, average age of 11.3 years. You'll see on the next slide when we focus on some of the segments that this bodes very well for the supply/demand. All the ships should be leaving the fleet eventually. On the shipyard capacity, as you probably know, yards are full for 2025, 2026, and I would even say 2027. So, for the next three years, we have a good visibility on what is coming, and that is not that much in terms of capacity. On the age side, there's 204 Capes that will reach the age of 20 years by 2027. By 2027, 136 Capes will be delivered to the fleet. So, you can see that if ships above 20 years of age gets scrapped, we will be in a shrinking fleet scenario. By 2030, the number of overage Capes of 20 years and plus can reach 40% of the fleet. So, definitely on the supply side, we think the story is still very, very supportive. Some additional drivers. One thing that has been highlighted by some analysts in recent months is the amount of dry docks that Capes will have to undergo in this year and in the next two years. There's been a huge delivery wave in the years 2009, 2010, 2011 and 2012 of Capesizes. Now, all these ships need to go through their third special survey. And so we see a lot of Capesizes being tied up in special service, which is very positive for the market. Port congestion over the last couple of years has been falling. In recent months, we have seen an uptick. This again, could be supportive for rates and the average speed today of the fleet is low. Of course, it is low because supply/demand can be balanced with lower speeds, but it's also low because we, of course, need to watch some of the emissions and the costs of our fuel. On the demand side, it's a lot of talk about iron ore, obviously, definitely for the sizes we are in. The whole environment is supportive. Prices on iron ore are still supportive, but definitely also the supply of iron ore coming from different areas, the traditional areas, Brazil and Australia, but also new areas, West Africa is definitely going to play a very big role. And so on the seaborne iron ore demand, we are very, very positive for the next couple of years. Moving to our smallest division in number of ships. You see a picture here of the CMA CGM dolomites and our crew. That was the last 6,000 TEU ship to be delivered last year in October. We have four vessels on the water, 6,000 TEU ships which are fixed on long-term 10-year charters. We have one more ship delivered to our fleet, which is also fixed on a long-term charter that will be next year in the end of Q2, beginning of Q3. The market of containers has surprised everybody in 2024 because of the Cape of Good Hope re-routings, people avoiding the Red Sea. It remains to be seen what will be the situation this year. So far, there's not been a huge amount of easing. But obviously, if vessels transit through the Red Sea and the Suez Canal in a massive way, this should have a negative impact on the market. Obviously, in CMB.TECH, our container division, Delfis, is not impacted because we don't have any spot exposure of containers. You can see here on this slide, the roller coaster ride of the container markets, which reached all-time highs during the post-COVID period, but have spiked up again last year due to the Red Sea issues. On the indicator side, there are, of course, some green indicators like containership Suez Canal transits, but most of the indicators, a lot of ships coming on stream, rates are down and the demand is going to ease are more or less negative. So, on containers, we are definitely more cautious. Our Chemical Tanker division, Bochem, we now have six chemical tankers on the water. We have another two vessels delivering end of this year, beginning of 2026 and then two bitumen tankers as well. The market has been performing well. I mean our performance has been good. We have some vessels on long-term time charter, but we also have some vessels in the spot pool. All-in-all, the year can be split up in two. The beginning of the year was very good 2024. But then going into Q3 and Q4, it softened a bit because we saw product tankers coming back into some of the dedicated chemical tankers trade. But when you look at the numbers on the right side, these are still very, very healthy, and we cannot complain on the state of the chemical tanker market. And I want to finish with some words on our offshore wind division, WINDCAT. You see this picture taken in our shipyard in Vietnam, where we are building our CSOVs. The first one to be delivered in the month of May, June is the one on the right. The second one is the one on the left. And you can actually already see the third one, which is on the slipway in the middle being built in Ha Long in the north of Vietnam. The CTV and the CSOV market, we split it up. Of course, both are active mainly in the offshore wind market. But of course, there are different ship types. Our CTVs are much smaller vessels. We have seen actually good markets in the second half of 2024. The momentum always shifts towards the winter season is a bit quieter. And even though utilization went down a bit and rates softened a bit, we could actually see already a lot of inquiries for 2025. So, all-in-all, the market was better than expected. And also in this quarter, it is better than expected. You can see that our utilizations are actually quite healthy for Q4 and Q1, and we are reaching average rates around the $3,000 mark. Our CSOVs, as I said, the first one will deliver in May, June. CSOVs in 2024, there were 13 newbuilding coming to the market. Of course, it's a small market. The rates did not really soften, but went sideways, and we still see very healthy supply/demand, not only coming from the offshore wind, but more particularly of the offshore oil and gas. Some of these wind vessels because there are not enough PSVs in the offshore oil and gas market are moving to oil and gas because also the rates are better there. So, the market is very much supported not only by the wind demand, but also other markets like oil and gas. And you can see here some market rates on this slide in Q4, typical CSOV was earning $50,000 a day. As a summary, on tankers, we are positive. On dry bulk, we are positive. Containers, we are cautious to negative. On chemical tankers, still positive and offshore wind, we are positive. You can see our spot and time charter exposure in our various divisions. The tanker market is still very much spot oriented, even though we have 12 vessels on long-term charters. Dry bulk is full spot. On the container side, we are fully fixed. On the chemicals, it's a mixed bag, two ships on the spot market and all the rest is fixed. And on offshore wind on the CSOVs, we are still very much spot oriented. And then you have our fleet. I'm not going to go in all the details, but we took delivery of 20 ships last year. It's another 20 ships this year and then another 26 in 2026 and 2027. And you can see all the details on this slide. To finish off, I'm going to hand it back to Ludovic for some conclusions.
Ludovic Saverys: Yes. So, to conclude, if we look at the three main drivers in our strategy, on the shareholder side, happy to report yet another strong result, brings the full year profit to $871 million. We continue our discretionary dividend policy and no dividend has been declared for the fourth quarter. Our diversification optimization strategy, I think we have a good recycling of our capital with selling older tankers, investing in a diversified newbuilding fleet and on the decarbonization optionality, I think we're making great headways on all our NH3H2 ready and fitted vessels. The outlook looks good on our two largest divisions where we have exposure. We're quite bullish on tankers and dry bulk. We continue to work on our long-term contracts, and we still hover there as well. Without further ado, we'll open up the floor for Q&A. And here, you can see how the various ways you can do it.
A - Enya Derkinderen: Yes. [Operator Instructions] Evan [Indiscernible], you can unmute and ask your question please.
Unidentified Analyst: Thank you. So, just on your equity ratio covenant. So, I know you manage that and you are aware of the covenant. But how should we assume or think about the way you manage that going forward? So, is it fair to assume that you keep selling a few older vessels each quarter? Or do you are looking forward to do some kind of a large transaction so you can get some more financial flexibility?
Ludovic Saverys: Good question, Evan. I think it's the first one. I think we have a big portfolio of vessels, a diversified one. We manage our equity ratio based on prospects of operational profits, but also vessel sales. We have pretty low book values. That's also indicated in our equity ratio. It's not a value-adjusted equity ratio. It's a book equity since we have low book equity, I think the real underlying equity in the company is understated. But yes, we'll continue to manage it by selling some older vessels and making operational profit, but also capital gains on sales.
Unidentified Analyst: Okay. And other one, you talked about new potential projects. So, in which segments are you currently looking at? And which segment is the most attractive today?
Alexander Saverys: It's all of them. As we said in our press release, the markets have been a bit slow, and I think you know that. So, we think it's both on the tanker side and on the dry bulk side and on the chemical tanker side, even on the container side, we have a lot of discussions, but nothing has materialized yet, but we're very hopeful that in the next couple of months, we will be able to land some deals.
Unidentified Analyst: Thank you. That’s all.
Enya Derkinderen: Kristof, you can unmute and ask your question now.
Unidentified Analyst: Good afternoon. Thank you for taking my questions. I will start with two, if I may, on the backlog and the pipeline. I mean, have you seen a considerable change in attitude of targets since the Trump election? Or do you have the feeling that a lot of people are waiting for the outcome of the next MEPC meeting. And regarding prospects there, do you see a shift in segment in your pipeline, like are miners less interested? Or can you shed some light into the segments of your pipeline for long-term contracts? Thank you.
Alexander Saverys: Yes. Thanks. Very good question. And as you will understand, you're not the first person to ask us. I would say that the Trump election and then the view of the President and the new administration on the energy transition is very well known. We know that they will probably not be the biggest cheerleaders of decarbonizing their industry or shipping in general. This being said, we have not seen a shift in interest or lack of interest in our projects. If anything, on the contrary, we have actually seen more interest. And the more interest has not really come from the Trump election, yes or no because, of course, that's the American market. We are active in many more markets than only America. The shift in interest has come because we are getting closer and closer to finally having our ammonia-powered ships on the water. Our engine will be ready this summer. Our first ship will deliver in January next year. And we are actively now engaged with a lot of customers that can finally see the vessels that are being delivered and therefore, want to engage on long-term contracts. Your question on segments where we see most traction on long-term contracts, it's two points to that. One, a lot depends on where we are in the cycle and where the spot market is. It will come as no surprise to you that as if tankers go to $50,000, $60,000, $70,000 a day, there will always be customers that want to take some cover on long-term TC, and that goes for every segment we are active in. But two, there are some specific segments like, for instance, the mining companies that are indeed looking at trialing some of the new technologies and that, therefore, might come to the table to sign some longer term deals.
Unidentified Analyst: And maybe -- yes, I'll leave the floor to somebody else for questions, and then I can ask another one later on.
Alexander Saverys: Okay. Thanks.
Enya Derkinderen: [Indiscernible], you can now unmute and ask your question please. [Indiscernible] you need unmute, otherwise we can't hear you. Kristof, if you still want to ask a question, you can have the floor again.
Unidentified Analyst: Okay. No, just regarding the FSOs, I mean, is it technically possible that there is an extension of the contract and the work they are doing? And if so, when could contract negotiations for an extension start? And then on dry bulk, a little bit more of, let's say, a philosophical question. I mean, if we look at the iron ore price and if we look at cash breakevens, I mean, theoretically, you would expect miners to continue to delve as long as they make cash. We see that the rates for your Newcastlemaxes are under pressure. Are there may be some spillover effects from other cargo trades moving in the iron ore trade or the smaller vessels moving into the iron ore trade? Can you detail that a little bit?
Alexander Saverys: Yes. So, on the FSOs, the short answer to your question, is it technically possible to extend the vessels? The answer is yes. The ships will probably need some upgrading and some work. But definitely, these ships can be extended or their lifetime can be extended. We are not having any discussions as we speak because the charter still runs for a long time. And I think we'll have to come closer to the end of the charter in the next couple of years when discussions might take place. On dry bulk, the reason the Newcastlemax or Capesize rates or dry bulk rates in general are under pressure is a variety of reasons, but one of them is seasonality. We are traditionally in a slow quarter where weather-related matters, maintenance matters make sure that there's less cargo available on the market. And with less cargo, of course, rates then go down. Why mining companies are not shipping more iron ore out at current prices? Well, I think you should ask them, but I can give you some maybe hints at an answer. It's very easily said to increase production, not always easily done. It takes huge investments to increase capacity. There are also some logistical concerns. And of course, the price is high now, but in the past has been much lower. Some of these companies probably also want to watch their bottom-line and be a little bit more prudent in their approach as to how much they will ship. This being said, and you will see this in our slide deck, but also in our market overview of the press release, there is an immense amount of new iron ore supply, which will come on stream as from the end of this year out of Guinea, which is, for our market, a big game-changer because not only will it add volumes to the market, it will also add a very significant ton mileage because most of that iron ore, if not all, will go to China.
Unidentified Analyst: Okay. Thank you. And your Newcastlemaxes, are they still operating for Fortescue? Or is the -- are the charters now more diverse?
Alexander Saverys: It's a mix. Some of them are with the company you mentioned. Some of them are not. It's a mixed bag of some vessels that we fix on a voyage per voyage basis and then some we have some consecutive voyages. But it's all on the spot market in terms of pricing.
Unidentified Analyst: Okay. Thank you.
Enya Derkinderen: Okay. I see that [Indiscernible] is still raising his hand, so we will try once more.
Alexander Saverys: Yes, we can hear you.
Unidentified Analyst: Okay, great. Hello gentlemen. [Indiscernible]. I have a very important question to ask you. What is the company's 2025 Q1 and Q2 short-term strategy in securing new routes, especially for your VLCC ships, the crude oil ships?
Alexander Saverys: And you mean securing new routes in terms of new customers, in terms of new destinations?
Unidentified Analyst: In terms of new customers and possibly new destinations?
Alexander Saverys: Well, we don't really have a different strategy than the one that we have had over the last couple of months and years is we go where the cargo is. We have seen a shift, of course, with less barrels coming out of the Middle East, more barrels coming out of the Atlantic Basin. Logically, more vessels go to the Atlantic Basin. The strategy is determined on our VLCCs by the Tankers International Pool. You probably know we are a partner there. And on the Suezmaxes, we run this here from Antwerp. We basically go a short answer to you, where the cargo is. And in terms of the destinations, as I just said, we have seen a shift over the last 18 to 24 months, of course, much more from the Atlantic Basin towards Asia than from the Middle East.
Unidentified Analyst: Thank you. One last question I have. Now, I realize you are selling some of your older VLCCs and Suezmaxes. Now, is this a trend that will continue over the course of the next quarter in order to accomplish your greener fuel cell and ammonia running ships? Is this a continuing trend?
Alexander Saverys: For sure. It's not only to invest in greener applications, but just because we like to operate a young fleet. Some of the ships we're selling are 17 to 18 years old. And we think that prices today are good, and that's why we want to recycle that cash and then invest in more modern vessels. So the short answer to your question is, yes, we will continue to look at possible sales of our older fleet, but not at any price and not at any time.
Unidentified Analyst: Thank you very much gentlemen.
Alexander Saverys: Thank you, sir.
Enya Derkinderen: We also received some questions in the chat. So, I will read them out loud. When do you expect the new site in Africa to contribute to additional revenue?
Alexander Saverys: That's a very good question. As you might have seen on some of our news flow, we hope to be operational with our hydrogen production facility in Namibia towards the end of June, beginning of July. The whole site is fully commissioned. We're just waiting for the electrolyzer to be installed. That project will not meaningfully contribute to our revenues because we are only producing 1 tonne of hydrogen a day, which will be sold locally. The real impact of our Namibian project will be as soon as 2028, 2029 when our larger projects, our ammonia tank terminal and our ammonia production facility will come on stream. So until 2028, 2029, this will not have a meaningful impact on our revenues.
Enya Derkinderen: Then the next question, how big is the difference in rates for your eco vessels? And when do you expect the overall scrapping in all segments to begin in earnest?
Alexander Saverys: So, it's probably a reference to our Newcastlemaxes. I think that in a normal market, the premium that we will earn because we are burning less fuel can be all the way up to $10,000, $15,000 a day. When do we expect scrapping? Usually, people scrap ships when the market is very, very bad. The market is not in a super shape during the quarter, but it's not bad enough for a massive scrap wave. However, and this being said, as from a fourth special survey for specifically dry bulk ships, it becomes increasingly difficult even in okay-ish markets to justify a big investment in a large dry dock and then usually ships start going to the scrap yards. And recently, we've seen one ship going to the scrap yard. We think with the age profile of the fleet in the next two, three years that this will actually accelerate even though markets would not be totally bad, but just average.
Ludovic Saverys: Maybe to add that, just on the numbers, if you look at our earnings for our Super Eco Newcastlemaxes, as you asked, as we've shown in our Q4, we had $29,800, so close to $30,000. If you just look at your 10-year-old Capesize index for the same quarter, we're at around $18,000 there's almost $12,000 per day extra that we have earned, thanks to our Super Eco Newcastlemax.
Enya Derkinderen: And the next one, how do you overcome the relatively small float in your overall shares when it comes to institutional buying?
Ludovic Saverys: I think that's -- it is a good question. It's still one of the things we would like to tackle in the foreseeable future. I think having a listed platform with only 8% free float is not fully functional. It's not bringing the actual potential. And so it reduces the participation of institutional investors buying our shares. So, I think this is something we would like to tackle, but not at any price and not just any timing. Today, our share price, we believe, is somewhat undervalued. And so today, using primary capital raises or other types of actions to increase the free float is not creating more shareholder value.
Enya Derkinderen: And then the last one, despite sanctions, the dark fleet is still operating relentlessly. What other than a sinking would stop that severely?
Alexander Saverys: Well, we truly hope there will be no sinking because that would then be an environmental and human disaster. What we are seeing, and as I showed on one of the slides, is that sanctions and the implementation and enforcement of sanctions can accelerate a shift more to the normal vessels and can actually make trading of dark vessels very difficult, if not impossible.
Enya Derkinderen: And I think that concludes the questions.
Alexander Saverys: Very good. I would like to thank everyone for being in this call. thanking my colleagues, Ludovic, Enya, and Joris for being here with me today. If you have any other questions, you can always reach out to us. Thank you very much.